Operator: Good day, and welcome to the MSA Safety Third Quarter 2024 Earnings Conference Call. All participants will be in a listen only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Larry De Maria, Executive Director of Investor Relations. Please go ahead.
Larry De Maria: Thank you. Good morning, and welcome to MSA Safety's Third Quarter 2024 Earnings Conference Call. This is Larry De Maria, Executive Director of Investor Relations. I'm joined by Steve Blanco, President and CEO; Lee McChesney, Senior Vice President and CFO; and Stephanie Sciullo, President of our Americas segment. During today's call, we will discuss MSA's third quarter financial results and provide an update on our full year 2024 outlook. On Slide 2, I would like to remind everyone that the matters discussed during this call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include, but not limited to, all projections and anticipated levels of future performance. Forward-looking statements involve a number of risks, uncertainties and other factors that may cause our actual results to differ materially from those discussed today. These risks, uncertainties and other factors are detailed in our SEC filings. MSA Safety undertakes no duty to publicly update any forward-looking statements made on this call, except as required by law. Turning to Slide 3, we've included certain non-GAAP financial measures as part of our discussion this morning. The non-GAAP reconciliations are available in the Appendix in today's presentation. Presentation and press release are available on our Investor Relations website at investors.msasafety.com. I'd now like to turn the call over to Steve Blanco. Steve?
Steve Blanco: Thanks, Larry and good morning, everyone. I'm on Slide 4. Thanks to our team's dedication and hard work, our ability to serve our customers and advance our mission has never been stronger. We continue to be guided by the strategy we outlined earlier this year at our Investor Day to drive profitable growth while judiciously deploying our capital, as we work towards our 2028 financial goals. We remain focused on bringing industry-leading safety solutions to our customers around the world. I will touch on some of our mission-driven innovation accomplishments in a few minutes, but let us first look at some of the third quarter highlights. Overall, we once again demonstrated operational resilience with our quarterly results. For the third quarter, net sales decreased 3% year-over-year on both a reported and organic constant currency basis, and adjusted earnings increased 3%. As we noted in our press release, the decline in sales was largely due to the previously mentioned delivery timing with Fire Services and some specific customer delays. With that said, we continue to see positive order momentum, and our backlog grew sequentially during the quarter. Orders increased year-over-year by high single digits, excluding the impact of the US Air Force order in each period. During our earnings call in July, we discussed some aspects of order and delivery timing that could impact the cadence of the second half, including the assistance for firefighter grants or AFG funding. This was released later this year than in 2023 and specifically around the US Air Force SCBA order delivery timing. In final form, the US Air Force' schedule has shifted towards the end of the year. but we still expect to deliver most of that order in 2024. While our top-line sales number came in below what we planned, the team performed exceptionally well from an operational standpoint as evidenced by our overall earnings growth and margin performance. The overall demand environment remains healthy, albeit with some choppiness, and we continue to see a strong business pipeline. Moving to our product categories. Sales in Fire Services were down high single digits in the quarter, primarily due to the U.S. Air Force shipping delay and also a decline in breathing apparatus sales versus a strong prior year comp that included several large departments such as LA County. As you know, Fire Services SCBA order timing can be lumpy. While orders were up year-over-year, some customer orders have been delayed. At the same time, we retain a solid pipeline in North America, and we continue to have excellent international momentum with our M1 SCBA in the third quarter experienced continued momentum in fire helmets with growth of our new Cairns 1836 and our F1 XF as well as turnout gear. Sales in Detection were up mid-single digits. Fixed gas and flame detection had a solid quarter, moderately declining compared to last year's robust third quarter growth with good contribution from our FL 5000 flame detector. Portable detection sales continued to perform strongly in both traditional and connected devices. We also continue to see solid margin improvement in our Detection business. Industrial PPE sales were down mid-single digits year-over-year, as international markets slowed. Head protection was up modestly, while fall protection declined mid-single digits, and we saw continued customer delays in ballistic helmets. Turning to Slide 5, I'd like to share some innovation highlights from the third quarter. First, I'm proud to note that the Product Development and Management Association named MSA at 2024 outstanding corporate innovator, making us one of only two companies to achieve this distinction twice in the 37-year history of the award. It recognizes companies consistently generating long-term value through exceptional product and service innovation. We were honored in part for our transformation from a safety equipment manufacturer to the global leader in developing and manufacturing advanced safety technologies and solutions. Second, I would like to briefly highlight our portable detection business. We continue to grow across our diverse detection product category through innovation. Portable sales have grown by nearly 40% over the last two years. While we continue to see strong growth in traditional portable devices, our fastest-growing category is connected portables, now including a complete solution set sold through MSA+ subscriptions. We are signing up new customers and are converting our existing installed base of customers to connected solutions, with most customers selecting durable multiyear contracts. In addition, there are opportunities for service contract add-ons and back-end contract renewals. We expect to see strong profitability from this business that will scale even more over time. Most of these contracts are incremental with many new customers. We'll discuss connected portables more in the future, but we wanted to highlight the success and strength we've had so far. We are in the early innings of this journey, led by our io4 device, which is the heart of our industrial technology strategy. Finally, MSA is proud of our products and solutions, protecting more than 40 million workers annually, demonstrating our team's impact and safety. In the third quarter, we were made aware of two specific cases where MSA's end users were saved from significant injury or death. One case was related to our io4 gas detector and the other was related to our LUNAR device and Inspire service. These remind us each and every day of our purpose and the importance of our mission that the entire team at MSA is committed to. I want to thank our team for working hard with these customers and our more than 5,000 associates around the world for their dedication to delivering innovative products and solutions that enable us to continue advancing the MSA mission of helping men and women work in safety throughout the world. With that, I'll turn the call over to Lee, who will discuss our financial results for the third quarter. Lee?
Lee McChesney: Thank you, Steve, and good day, everyone. We appreciate you joining the call. Let's now review our third quarter performance and provide an update on our full year outlook. Let us get started on Slide 6 with the quarterly results. Sales are $433 million down 3% year-over-year on an organic constant currency and a reported basis, with lower volumes offsetting positive price contributions. Currency translation was relatively neutral in the quarter. Across our product categories, mid-single-digit growth in detection was offset by contractions in Fire Services and industrial PPE. Though growth was challenged by a strong year-over-year comparable period and the shipment timing change Steve mentioned, double-digit sales growth on a 2-year stack reflects the health of our underlying business. Overall, orders in the quarter were robust and have been high single digits over the past six months with growth in all of our markets. Our commercial pipeline remains encouraging across our product categories and in most of our regions. And we have seen a nice continuation of activity so far in October. In the third quarter, our book-to-bill ratio was about 1.1 times and exceeds the 1 times on a year-to-date basis. As a result, our backlog increased sequentially due to these favorable trends and the normal 3Q seasonality, but remains below the unusually elevated levels of the past couple of years. Our margin performance continues to be resilient, and the team's commitment to the MSA business system processes and behaviors are evident in our results. Gross profit margins were 47.9% in the quarter, 110 basis points below the strong levels of the prior year. Operating margin on a GAAP basis was 21.1% in the quarter, including the benefits of lower SG&A. Adjusted operating margin was 22.6%, down 10 basis points over the prior year, and decremental operating margin was 24%, within our target range of 20% to 30%. Operating margin performance was largely driven by mix, productivity, cost, price management and lower SG&A levels. GAAP net income in the quarter was $67 million or $1.69 per diluted share. On an adjusted basis, diluted earnings per share were $1.83, up 3% over the prior year. The increase was a combination of positive mix, productivity, lower SG&A, lower interest expense and a lower year-over-year adjusted tax rate. Now moving on to our segment performance. In our Americas segment, sales decreased 5% on a reported basis year-over-year, with mid-single digit growth in Detection, offset by a shipment impacted decline in Fire Services and a slight contraction in Industrial PPE. Currency was a 2% headwind in the quarter. The adjusted operating margin was 30.7%, up 80 basis points compared to the prior year. Margin expansion was driven by a positive mix, productivity cost/price actions and a lower SG&A. In our International segment, sales increased 1% on a reported basis year-over-year. Healthy growth in Fire Service and Detection was mostly offset by a decline in Industrial PPE. On a geographic basis, growth in APAC was partially offset by a decline in EMEA. Currency translation was a 2% tailwind in the quarter. Adjusted operating margin was 13.6%, a decrease of 340 basis points year-over-year, and profitability was challenged by lower volumes, a robust comparisons in period and partially offset by productivity and price. Now turning to Slide 7. Free cash flow in the quarter was $70 million, representing a conversion rate of 97% of adjusted earnings. Third quarter cash flow reflected healthy earnings and solid working capital execution. Consistent with the capital allocation strategy outlined at our Investor Day, capital deployment in the third quarter was balanced. Capital expenditures were $14 million, up modestly compared to the prior year. We returned $20 million in dividends to our shareholders, and we repurchased $10 million in common stock. Debt payments totaled $38 million. Our net debt at the end of the quarter was $400 million with a cash balance of $154 million. Our net leverage ratio at quarter end was 0.9 times, consistent with the second quarter levels. Adjusted EBITDA for the trailing 12 months ended September 30 was $464 million or 25.7% of net sales. Now let's move on to our full year outlook on Slide 8. So although the operating environment in the second half of the year has been incrementally more dynamic, our broad diversification across products, geographic regions, end markets as well as the attractive underlying market trends in the safety industry continue to position us to deliver resilient results. As we look ahead to the fourth quarter, we expect to finish the year favorably with mid-single digit revenue growth in the quarter, implying low single-digit growth for the full year 2024. The expected mid-single digit growth in the fourth quarter is supported by our orders and backlog, including the US Air Force business, and compounds on top of the 12% reported growth, we delivered in the fourth quarter of last year. Now compared to our July sales outlook, we have adjusted our view in line with the order and shipment dynamics that we're seeing with specific customers. Looking forward, we are also well positioned to deliver at or above the high end of our 30% to 40% incremental margin objectives, and we remain on track to deliver a healthy cash flow conversion. And finally, I want to extend my thanks to our associates worldwide who are so focused on passionately supporting our customers each and every day in supporting the mission Steve highlighted earlier. Now I'll turn the call back to Steve for concluding remarks.
Steve Blanco: Thank you, Lee. As we look forward, I want to reiterate the resiliency of our business, driven by strong underlying industry fundamentals, our proven innovation process and leading positions across our markets. I believe we have the best team in the industry. And with our mindset around continuous improvement and commitment to the MSA business system, we are well-positioned to create value over the long term for our stakeholders. With that, I'll turn the call back to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question today comes from Rob Mason with Baird. Please go ahead.
Rob Mason: Yes, good morning. I just wanted to start with you noted that you were able to deliver the decrementals within your guided range. And it looked like SG&A was a lever within that dynamic. Can you just speak to -- we saw a sequential decline and perhaps some seasonality around that, but just how should we be thinking about SG&A as we go into the fourth quarter and your ability to manage that number specifically?
Steve Blanco: Yes, certainly, Bob. I'll give it to Lee to take that one.
Lee McChesney: Sure. Good morning Rob. So as you know, a big decremental certainly in the range we've talked about in the past. It certainly -- gross margin was a continued nice resilience level. And then to your point, SG&A is in a good place. Certainly, we are focused on prioritization in SG&A. We certainly flex when we need to, and there is a benefit in the third quarter from just a bit lower volumes that comes through as well. But as you go forward, I think versus what you've seen in the past, you're going to see continued momentum. It won't be quite what it was in the third quarter, will certainly go up dollar-wise just because of the higher volume, but you'll still see a pretty healthy ratio there. So -- but again, we are focused on driving incrementals not decrementals, but good to see that when happen.
Rob Mason: Yes, yes. Okay. The -- I wanted to see, again that some of the customer timing, shipment timing, not a complete surprise there. But I'm curious as you're thinking about your fourth quarter levels. It sounds like Air Force you are counting on shipping some of that. But just could you parse through some of the other specific customer delays? Are you expecting those to abate in the fourth quarter? Or do those carry through year-end? And where would we see those if it's AFG related? You mentioned ballistic helmets I thought also, but I'm just provide a little more color around where you are seeing those delays?
Steve Blanco: Yes, sure, Rob. So if you think about the Air Force first to answer that question, we expect pretty much, I'd say 90-plus percent of that to ship in the fourth quarter. So that will ship, and again, that's based on customer timing and what they want to accept at what time. So that's really how that push. So we're prepared and expecting to do that. So I'd say most of that ships in the fourth quarter. And then the other thing, you talked about ballistics. This happened in Q2 actually. But in Q3, the customer, this is a European government customer, pushed this back to 2025. So that obviously comes out of the '24 story from a revenue perspective. We've got that business. We have the contract here, but it is a push from them on timing to take that order. So that's what we see, and we've seen a couple of others like that. We saw a -- that are going to affect the fourth quarter. We've got one in the Americas, in Latin America, a large government order, the same thing. Again, we have the business, we are the incumbent, and they've told us we have the business, they just pushed it back because of the election change that they had with their government. So everything is intact there. On the Fire Service, it is not inconsistent as you know our story pretty well. So we've seen this lumpiness before. The pipeline is really good, business is resilient. The AFG funding is now released, which is good. But the order timing can be lumpy as we've seen in past years, and that's what we've seen this time. They haven't gone to competitive accounts, but they are slower to close than we expected. So that's really where we're at on why we called out some of these orders taking a little bit more time than we had hoped.
Rob Mason: Sure. Just one last follow-up. Just could you go through -- you called out portable gas strength in the quarter, both on the traditional and the connected side. Just kind of the underlying market drivers there, or do you think this is the strength? Or do you think that is some share gain mixed into that? Just what kind of underpins the double-digit growth here?
Steve Blanco: I think it's both. I think you're correct on your thesis on share gain. We're certainly seeing that occur. We're also seeing expansion of your wallet share, right, as we're providing more value through these connected solutions to our customer base. And really, we're expanding the customer base overall itself. So we have this -- if you think about the portable portfolio, we really got options, a diverse set of options for the markets, right? So our customers can choose whether they want that traditional platform or they want to have this connected platform, which we go to market through MSA+. And it is a tremendous combination for the customers to choose from. So the growth was both. So we saw some mid-to-upper single digits depending on the market for the traditional, but really, by and large, the high acceleration of growth is the connected platforms we're seeing. So that's what we expect to kind of continue to see. It fits really well with what we talked about earlier this year as we walked through the strategy at Investor Day, and that's playing out really nicely.
Rob Mason: Very good. I will turn it back, thank you.
Operator: [Operator Instructions] And our next question today comes from Ross Sparenblek with William Blair. Please go ahead.
Ross Sparenblek: Hi, good morning guys.
Steve Blanco: Good morning Ross.
Ross Sparenblek: Maybe just starting with broader end-market demand. Backlog is difficult to track. So can you just give us a sense of the high single-digit growth in the quarter, is that seasonal? Is that kind of maybe more just the push out of the orders in the third quarter? And what expectations are just broader demand? I mean it would appear like you guys are taking share across most of the segments.
Steve Blanco: Thanks, Ross. Thanks for the question. So if we think of demand, it was healthy to your point, with orders up high-single digits. And I'll turn it over to Lee to talk a little bit more about what it does on the backlog story and a bit on the book-to-bill. But when we look at the markets, I would kind of think of it this way. We do feel like we're in a really good position from a share perspective. Detection we just talked a little bit about, as I answered Rob's question on portables. We're seeing some nice performance in fixed as well. Last year was a tough comp because we had such great growth, but really solid performance. Industrial is still mixed. We see some really good market performance in some categories, in some we dumped that are a little softer. Europe is a little softer than most right now. But overall, it is been consistent throughout the year. I haven't seen an uptick as we've come into the second half of the year, but we haven't seen much degradation either, and we kind of expect it to remain fairly constant through the rest of the year. And in the Fire Service, we are really doing well with international growth in the Fire Service. The team is taking a ton of share, which we are really pleased with. They are performing well, they're competing extremely well with customers across the international markets, which is a real strength for us. And then we expect the Fire Service in North America too, as we said. We've got the pipeline. It is just a matter of getting some of those orders to close. But overall, yes, we feel like in totality, our position in the markets are really strong, probably as strong as they've ever been. But maybe, Lee you can parse out a little bit about the backlog.
Lee McChesney: Sure, sure. Hey, good morning Ross. As we noted on the call here, and I remind everyone never to overreact to one quarter. But certainly, a nice quarter over 1.1 times, but we also gave you the full year year-to-date number as well, which is slightly above 1 times. And I think it really speaks to where Steve is going. We are still seeing generally good markets. It can be lumpy from quarter-to-quarter. We're talking about for orders, a nice high single-digit number here in the third quarter with a similar performance in the second quarter. So I think that does speak to everything, Steve was walking through as you look forward as well. Just giving some insight to across the markets where we say in order to drive a single digit. It was very consistent, frankly, across all three categories of our business and good performance around the globe as well. There are spots in the world that are not as healthy, but overall, it is a good place. And I'd clarify also that, in the third quarter, the orders we saw did not include Air Force. We booked Air Force in the second quarter. So it just speaks to that order dynamic so --.
Ross Sparenblek: No, that's very helpful. Maybe just follow up on Rob's question. I mean, could you maybe help us size that third quarter order impact? And I know I'm not trying to think you guys [indiscernible] '25, -- but we sound to get a sense of kind of the comp impact we should expect as you think about the $23 million Air Force order and also the backlog conversion in the first half of the year.
Lee McChesney: Ross, let me clarify, too. Because we had Air Force in the first half of the year for the first tranche. And obviously, that went through the business. And then a good portion of Air Force also fell into 3Q, which is really what you're going to see here [predominantly] (ph) in 4Q, as you talked about earlier, just me clarify that for you. So beyond that, still had healthy growth in the categories I mentioned.
Steve Blanco: Yes. I would say, Ross, you're right. I mean, we're going to be comping two straight years of Air Force, right, for '25 to your point. But we'll plan to talk more about '25 as we ramp '24. What I would suggest that you think about and just we stay centered on and we're very comfortable with is we're fully committed to our '28 targets we identified during Investor Day. And as we noted, '25 -- and as you said, the '25 comp challenges are there with Air Force, but we're fully committed to what we laid out there for the Investor Day. The margin expansion, certainly the growth and the compounding on EPS.
Ross Sparenblek: Got it. Okay. And then maybe just for international fire. Do you get the sense that competitors become more price rational there? Or should we say that there is probably more volume in the quarter?
Steve Blanco: We're -- that's a really interesting question. So we have -- it's really different by market. So China and Asia Pacific are a bit different. So we've introduced a different product category for SCBA in the Asian market this year that's doing really well, but it's matching the needs of the customer base in that area. So it's a little lower price point. But the M1 is competing really well. A lot of what we're seeing, there's still some of this price-based customer needs, I guess, I'd call it out there. And we are certainly -- we understand that. But a lot of the customers really looking to functionality fit performance. And when they do an evaluation, it's really nice to see them weigh that a lot more than they do price. So they are looking at total value, which I think we compete very well with.
Ross Sparenblek: That's perfect. And maybe just one more in here on portable. 3Q is seasonally low historically and double-digit growth, and that's obviously showing some signs of acceleration. Buyer math, maybe there's 5,000, 6,000 incremental units. So it was kind of the expectation that we're kind of ramping to maybe the 20,000 unit run rate?
Steve Blanco: You mean on portable instruments. Is that what your question is?
Ross Sparenblek: Yes, portable gas detection.
Steve Blanco: Okay. So yes, so if you look at fixed, fixed gas detection, I think the unit run rate continues to be pretty consistent. Portable gas detection, I think on orders, you may be closer on the order count. But on unit count, it is a magnitude higher than that. We're seeing -- what's really nice is we're seeing on this traditional business, the customer continues to really look at our value prop. So we talk about accuracy of sensors, durability of the product, reliability across our portfolio and certainly our service. So we're winning there in converting business in probably a higher rate than we expected on the traditional. And then what's happening on the connected portable side is playing exactly -- playing out how we thought it would. You think of the growth there more like you would think of a software platform, and that's the kind of growth we're actually seeing there. So we do expect that to continue. Now it is on a low base. It's still under 10% of our overall portables revenue. And I think that's important to note, which is why we keep these combined, and we'll continue to track that and keep you updated on the progress.
Ross Sparenblek : Thank you guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Larry De Maria for any closing remarks.
Larry De Maria: Okay. Thank you. We appreciate you joining the call this morning and for your continued interest in MSA Safety. If you missed a portion of today's call, an audio replay will be made available later today on our Investor Relations website and will be available for the next 90 days. We look forward to updating you on our continued progress again next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.